Operator: Hello, everyone, and welcome to the Yatra Third Quarter 2025 Earnings Conference Call. My name is Ezra, and I will be your coordinator today. [Operator Instructions]. I will now hand you over to Manish Hemrajani, VP of Corporate Development and Investor Relations. Manish, please go ahead.
Manish Hemrajani: Good morning, everyone, and welcome to our earnings conference call for the fiscal third quarter of 2025, covering the period ended December 31, 2024. I'm pleased to be joined on the call today by Yatra's CEO and Co-Founder, Dhruv Shringi; and CFO, Rohan Mittal. Before we begin, I would like to remind you that certain statements made on today's call may constitute forward-looking statements. These statements are based on management's current expectations and beliefs and are subject to various risks and uncertainties that could cause actual results to differ materially. For a detailed discussion of these risks, please refer to our filing with the SEC and the press release we issued earlier today, which is available on the Investor Relations section of our website. With that, I'll turn the call over to Dhruv. Dhruv, please go ahead.
Dhruv Shringi: Thank you, Manish, and good morning, everyone. Thank you for joining us for our third quarter 2025 earnings call. For the quarter ended December 31, 2024, we reported revenue from operations of INR 2.35 billion, representing a year-over-year increase of 113%. Our Revenue less Service Costs, which is our gross margin grew 25% year-over-year to INR 1.04 billion. These are primarily driven by strong performance in our Hotels and Packages segment, particularly within our Corporate Travel segment, including our Meetings, Incentives, Conferences and Exhibitions business, which is our MICE business. The robust growth in our Corporate Travel business underscores our ability to capture the rising demand for corporate travels and event management services, further solidifying our market presence. Our Corporate Travel segment continued to demonstrate strength showing significant growth across all major metrics. In the third quarter of FY '25, we onboarded a record 50 new corporate clients collectively adding an annual billing potential of INR 2.8 billion, which is approximately $32.2 million, reinforcing our leadership in the corporate travel space. This not only expanded our corporate client portfolio, but also provided us access to some clients in new industries, which allows us to then build on that to go deeper into those market segments. The integration of Globe, which is the company that we acquired in September 2024 is progressing ahead of schedule. The acquisition continues to generate positive synergies contributing to our profitability and strengthening our supplier relationships. Our Hotels and Packages segment saw robust year-over-year adjusted margin increase of 65.8%, with hotel gross bookings up 83%. The growth was driven by our strategic focus on cross-selling stand-alone hotels to our existing corporate client base and growth in the new MICE business. Additionally, we saw improved conversion rates in our hotel business due to enhanced platform features, better inventory management and strategic supplier relationships. Our adjusted EBITDA for the quarter surged 75% year-over-year, [indiscernible]. This strong performance underscores the continued momentum of our strategic initiatives and our focus on profitable growth and operational efficiency. Despite competitive pressures in the B2C segment, we have stabilized volumes in our air business and our focus on improving operational performance. While direct airline supplier pricing continues to be a challenge, our strategic efforts to enhance personal travel offerings for corporate clients and their employees have yielded positive results. The attach rate of personal travel bookings to our corporate channel increased by nearly 22% year-over-year, underscoring the effectiveness of our integrated travel solutions. This channel continues to be a cost-effective means of customer acquisition for us. Additionally, yatra.com maintains strong brand recall, which has helped offset industry headwinds in a relatively short period of time. Our ability to leverage this brand strength coupled with deeper inroads into selling personal travel to corporate employees has positioned us well for sustained growth. With a stabilized B2C air business and an improving attach rate for personal travel, we anticipate incremental gains moving forward. The strength of our brand was further reinforced by the recent recognition of Yatra as one of India's biggest brand movers by YouGov for December 2024, reflecting significant gains in brand awareness, consumer engagement and reputation. This recognition underscores the impact of our customer-centric approach, technology advancements and ongoing efforts to enhance travel experience for millions of customers. We are also making good progress towards simplifying our corporate structure. The Board-appointed Restructuring Committee has come up with some pathways, and we are actively engaging with relevant advisers and regulators across different jurisdictions to develop a comprehensive proposal aimed at streamlining operations and enhancing shareholder value. We continue to enhance the capabilities of our corporate SaaS platform as well. While it's early days, our expense management solution recap is progressing well, with several prospects evaluating the product as a cross-sell opportunity alongside their existing Yatra Travel solution as well as a stand-alone solution. Our expense management solution leverages some of the latest innovations in AI, which enables it to deliver a superior customer experience. In addition, we continue to leverage AI to automate back-end customer service tasks, which we believe will further provide us with greater opportunities on the operating cost leverage front. These initiatives, combined with disciplined execution and a scalable cost structure will support sustained margin expansion and operational excellence. Switching tacks to the macro environment. As per the recent Deloitte study, India's corporate travel market is expected to double by 2030 to $20.8 billion. This growth is projected to be driven by economic growth, infrastructure improvements and technology advancements. The Deloitte report highlights that our travel management companies are central to this growth, leveraging AI-powered chatbots, voice-assisted booking systems and real-time data analytics to provide tailored, seamless experiences for business travelers. Business and leisure trips are increasingly getting combined, which is changing the hospitality sector. The report underscores how Bleisure, the blending of business and leisure travel is gaining momentum. This bodes well for our cross-sell opportunity to sell leisure travel to our corporate customers, where we've been seeing increased attach rates over the last few quarters. While challenges remain in the B2C segment, we are highly encouraged by the strong momentum we are experiencing in our corporate travel business, alongside the value creation expected from the Globe acquisition and the growth in our MICE segments. The addition of record new corporate accounts and the development in our MICE business exemplify our commitment to delivering long-term value for stakeholders. Looking ahead, we are confident in our ability to sustain growth in high-margin businesses, while continuing to improve profitability. Our focus remains on expanding our Hotel and Packages and MICE business to further diversify our revenue streams; enhancing corporate travel solutions, including expense management and cross-selling opportunities to maximize customer value; maintaining cost discipline and operational efficiency while investing strategically in key growth areas. We continue to refine our strategic initiatives to maintain our leadership in the corporate travel sector and are also looking at restructuring efforts that will help us drive long-term shareholder value. With that, I'll hand the call over to Rohan, who will provide a more detailed breakdown of our financial performance. Rohan?
Rohan Mittal: Thank you, Dhruv. Good morning, everybody. Thank you for joining us today. I'm pleased to take you through Yatra's financial performance for the third quarter fiscal year 2025. For Q3 FY '25, our gross bookings totaled INR 1.8 billion, which is roughly USD 211 million, reflecting a 3.4% decline year-over-year. This was primarily driven by reduced air travel volumes in the B2C segment as we strategically adjusted discounts to address intensified price competition. This was offset by a strong rebound in our Hotels and Packages segment, which grew 81% year-over-year. From a profitability standpoint, we've delivered robust results. Adjusted EBITDA reached INR 121.5 million, which is roughly USD 1.4 million, marking a substantial 173% year-over-year increase. This improvement was fueled by continued cost optimizations, a shift towards higher-margin segments and disciplined operational execution. Moving on to the segment performance. On the air ticketing side, our adjusted margin came in at INR 858 million, which is roughly USD 10 million, down 23% year-over-year. The decline was attributed to a combination of lower gross bookings and a reduction in headline take rate due to a mix change. Despite the decline, we continue to leverage our B2B business and corporate travel solutions to stabilize margins in this segment. On the Hotels and Packages, adjusted margins surged to INR 438 million, which is USD 5.1 million, an increase of 66% year-over-year. This growth was largely driven by the expansion of our MICE segment as well as improved cross-selling initiatives, which have strengthened customer engagement and increased our wallet share per travel. Moving on to Expenses. Marketing and sales promotion costs declined by 32% year-over-year. This reduction was a result of optimized spending in our B2C segment. Personnel expenses, including ESOP cost, increased by 34% year-over-year. This was primarily due to the full quarter impact of the recently acquired entity Globe as well as the annual appraisal cycle. Further, we continue to invest in MICE and expense management teams in line with our overall strategic focus. Other operating expenses saw a 9% increase year-over-year. This was primarily due to the business combination impact and the full quarter effect of acquisition of Globe. Looking at liquidity. As of 31st December 2024, our cash and term deposits totaled INR 1.89 billion, which is roughly USD 22 million, maintaining a very strong liquidity position. Our gross rate was down to INR 33 million, which is a shade below $0.5 million, reflecting a significant reduction from prior levels. With this, I'd like to hand over the call back to the moderator to open up for Q&A. Thank you.
Operator: [Operator Instructions] Our first question comes from Scott Buck with H.C. Wainwright.
Scott Buck: Dhruv, I'm curious, given the momentum you're seeing in MICE, can you give us an indication or some color around how large that market is? Just trying to understand how long this kind of positive momentum can continue?
Dhruv Shringi: MICE in India is a highly fragmented market, Scott. Firstly, good morning to you. MICE in India is a highly fragmented market. And if I look at from an organized sector point of view, the organized sector barely accounts for about 15% of the overall MICE business. The overall MICE business in India is expected to be close to about between $8 billion to $10 billion on an annualized basis. So it's highly fragmented, offers a tremendous amount of opportunity for long-term growth as we move forward. We are just at the moment, from an organized sector point of view, just dipping our toes literally in the ocean.
Scott Buck: Great. That's helpful. And then can you remind us how long it takes to ramp a corporate client relationship once they're onboarded? I forget, do you get 100% of their business on day 1? Or does that take some time?
Dhruv Shringi: So in that regard, I would qualify that answer into 2 parts or categorize that answer into 2 parts. For accounts which are typically more than about $5 million per year, these kinds of companies will go live in a phased manner. They will typically take maybe one division or one location live and from there, then do a ramp-up, right? So that kind of a scenario will take anywhere between 6 to 9 months to get to the appropriate run rate of our share of wallet. In terms of accounts, which are less than $5 million and more so in that $2 million to $4 million kind of range, these accounts will go live within a 3- to 6-month period.
Scott Buck: Okay. Perfect. And then can you tell us what Global India's revenue contribution was during the quarter?
Dhruv Shringi: So while we don't call that out separately, just to give you a baseline. Globe's revenue and revenue less service costs, more importantly, last year was approximately about $5.4 million or $5.3 million [indiscernible] last year in terms of revenue less service costs.
Scott Buck: Okay. I appreciate that. And then last one for me. Any update on time line on the work the Board is doing on potential legal structure? And just kind of curious when we could potentially see a resolution, if any?
Dhruv Shringi: So, we are working with appropriate council in different jurisdictions. We've made, I would consider meaningful progress over the last 3 months as part of the efforts that we've undertaken. And I'm hopeful that at some point in the relatively near future, we can come back with something more concrete.
Operator: [Operator Instructions] There are currently no more questions. I will hand back over to Manish for any closing remarks.
Manish Hemrajani: Thank you, everyone, for joining the call today. As always, we are available for follow-ups, please feel free to reach out for the same. Thank you.
Operator: Thank you very much, Manish, and thank you, Dhruv and Rohan for being today's speakers. That concludes our conference call. We appreciate everyone for joining us today. You may now disconnect your lines.
Rohan Mittal: Thank you.